Operator: Good day and welcome to the IMAX Corporation, second quarter 2012 earnings conference call. All participants are currently in a listen-only mode. (Operator Instructions). At this time, I would now like to turn the conference over to Ms. Heather Anthony, Vice President of Investor Relations. Please go ahead.
Heather Anthony: Good morning and thanks for joining us on todays second quarter 2012 conference call. Joining me today is our CEO, Rich Gelfond; our CFO, Joe Sparacio; and Rob Lister, our Chief Legal Officer. Also here today is Greg Foster, our Chairman & President of Filmed Entertainment. We’ve uploaded a PowerPoint presentation in PDF format onto the IR section of our website this morning to help illustrate some points included in today’s discussion. I would also like to remind you the following information regarding forward-looking statements. Our comments and answers to your questions on this call may include statements that are forward-looking and that they pertain to future results or outcomes. Actual future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. During today’s call, references may be made to certain non-GAAP financial measures as defined by Regulation-G of the Securities and Exchange Commission. A discussion of management’s use of these measures and the definition of these measures, as well as reconciliations to adjusted EPS and adjusted EBITDA are defined by our credit facility and are contained in this morning’s press release. The full text of our second quarter release, along with supporting financial tables is available on imax.com. Today’s conference call is being webcast in its entirety on our website. Before I turn the call over to Rich, I wanted to mention that I’m taking on a new roll at IMAX. After four terrific years of heading up Investor Relations, it was time for a new challenge and Rich and Joe were gracious enough to accommodate me. I will be reporting to Joe as the new Vice President of Budgeting and Financial Analysis. Joining us on the call today is Terry Loxam (ph), our new Vice President of Investor Relations. Terry joins us from Bristol Myers Squibb, where she has worked for 11 years in various roles in strategy finance and most recently investor relations. We look forward to introducing Terry to you in the weeks and months ahead. And with that, let me now turn the call over to Rich Gelfond.
Rich Gelfond: Thanks Heather and good morning everyone. While our second quarter financial results are why we are here today, I’d be remiss if I didn’t take a moment to acknowledge our company’s collective sorrow, over the tragedy in Aurora, Colorado last Friday morning. We continue to send our thoughts and prayers to the victims, their families, the Aurora community and our partners throughout the filmed entertainment industry. We had a great quarter at virtually every level. Now, onto our specific results, which reflected the impact of the global scale of our growing theatre network and resulted in healthy box office results that translated into strong second quarter earnings. This quarter much like the first quarter demonstrates how the network effect drives operating leverage and recurring revenues in our business model. In addition to our substantial earnings growth and our expanding network, during the quarter we signed deals for 40 IMAX theatre systems. Our backlog rose sequentially and our pipeline for future theatre deals continues to be robust. Simply put, the fundamentals of our business are doing what they should, driving our earnings growth. I’ll discuss these subjects, as well as update you on some of our strategic initiatives, but first, let me review our second quarter financial highlights. In the second quarter we drove significant revenue and margin expansion across virtually every major business segment. Revenue increased 23% to $70.2 million from $57.2 million in the second quarter of 2011. This resulted in a 200% increase in adjusted earnings per share to $0.21 for the second quarter versus $0.07 last year. Second quarter EBITDA increased 80% to $29 million, trailing 12 month EBITDA increased 29% to $87.9 million and cash flow from operations increased by roughly $30 million year-over-year. As many of you know, we hosted our Analyst Day back in June. We began that day discussing the significant positive impact; network growth could have on financial results over a five-year period. We believe the first six months of 2012 reflect the leverage illustrated during that discussion. We also spoke about achieving critical mass and the positive effect this can have on our earnings potential. Box office milestones are becoming much easier to achieve as their network grows, which is important, because our model is all about operating leverage as our costs are relatively fixed. For example, five of our DMR titles, gross over $20 million a piece in IMAX in all of 2011. Through this past weekend however, nine DMR titles have already crossed this milestone so far this year. Speaking of network growth, we are pleased to report that over the last two and a half years we have signed theater deals for 500 IMAX digital theatre systems. Driving most of our signings momentum is our existing client base. IMAX is in business with the biggest theatre operators in the world and we are very proud that approximately 85% of our theatre deals are with existing customers. We recently increased our estimate of worldwide IMAX zones to 1,700 from approximately 1,500. Although the majority of that growth is to come from overseas territories, we did raise our domestic zone estimate to 485 and in fact domestic, our highest penetrated market has driven much of our recent signings momentum. In the second quarter we signed our largest regional deal ever; a 10 theatre JV agreement with the Frank Theatres. In Canada during the second quarter Empire Theatres signed on for two more theatres and in June we went live with our first test of a second screen location with Guzzo Cinemas in Montreal, which enables this multiplex to showcase IMAX DMR titles in both English and French simultaneously. Last week we got the third quarter off to a strong start with our long time partner AMC, who signed on for a firm eight additional IMAX theatres with the potential for 10 more on top of that. These new sites are in the same terms as our existing JV agreement and we’ll bring IMAX markets like Dearborn, Michigan; Anaheim, California and Monmouth, New Jersey under their 10-year agreements. Greater China continues to be our biggest and fastest growing market outside of North America. In 2012 our footprint is poised to grow by 50% year-over-year, which is on top of 2011’s 126% increase. Through the first six months, roughly 30% of our new theatre signed were in China, including deals in the second quarter with Bona Film, Aman Ajoy (ph) Cinemas, sorry for butchering that and developers Fandal (ph) and Wanda, fueling the interest in IMAX from Chinese exhibitors and developers, with the outside grosses our theatres consistently deliver in the marketplace. Through the first six months of 2012, our IMAX theatres in Greater China have delivered box office per screen of more than $830,000 on average. At the end of June there were 97 IMAX theatres opened in Greater China, with a total of 132 in backlog. Of those 97, 78 are commercial theaters and approximately 40% of those JVs with our largest international partner, soon to be our largest partner and the largest cinema operator in the world, Wanda Cinemas. It was announced during the second quarter that Wanda is acquiring AMC Theatres. We see this as exciting news, for our friends at AMC will now have an ownership structure that can infuse capital into the chain and we know that Wanda is a very savvy marketer, particularly as it relates to the IMAX brand. The WTO agreement between the US and China announced earlier this years is also beginning to have a positive impact on our business in the PRC. Our DMRPs on certain titles in the second quarter began moving above the historical rate of 6.5% and we expect to continue to make incremental progress on increasing the DMRP in China toward our global rate of 12.5% over time. In the EMEA CineWorld, one of England’s leading cinema operators signed a deal in the second quarter for four to five more theatres, only five months after opening it’s first IMAX theatre. Our team recently attended the Cine Europe Industry Conference in Barcelona and conversations are occurring with both new and existing exhibitor partners throughout Western Europe. In Russia our theatres continue to deliver a strong first screen grosses of approximately $1.1 million on average, through just the first six months of 2012. At the end of June, 24 IMAX theatres were operating in Russia in the CIS with another 25 in backlog. In addition, many studios are now opting to release their titles in this market, with exclusive previews in IMAX, as was the case with The Amazing Spiderman, Prometheus, Avengers and The Dark Knight Rises. As we’ve discussed on past calls, IMAX’s differentiation is a key strategic focus of ours. Differentiation can mean different things, filming with our cameras, utilizing our unique aspect ratio, exclusive marketing strategies and early release windows. But at its core, IMAX differentiation means that the moviegoer feels like they are part of something special and unique, that they can only get in IMAX theatres. At the end of the day, our ability to offer these kinds of tools to our filmmaker, studio and exhibitor partners and ultimately the consumer is how our brand sets itself apart and transcends to something beyond movie going. If you don’t believe me, go and see The Dark Knight Rises in one of the IMAX theatres today. Which brings me to Warner Brothers, The Dark Knight Rises. We at IMAX have been extremely fortunate to work so closely with Warner Brothers and visionary filmmaker Chris Nolan, to help bring his creative vision for The Batman Trilogy: The Life. This epic finale brings IMAX differentiation to the next level, featuring 72 minutes of footage filmed with our cameras; by far the most footage in any Hollywood feature film to date. Needless to say and please forgive the hyperbole, but the experience of seeing this movie in IMAX is one that is truly unique in the world of entertainment, where you can literally shop the screen with your eyes and focus on the part of the action you want to and this is reflected in our grosses so far, which have been quite strong domestically and internationally. More important than the near term financial results however is the longer-term impact of title, such as The Dark Knight Rises, which transcend the single quarter. Iconic IMAX films like this one have historically served as a catalyst for new theatre deals and film deals that feature IMAX differentiation, which further fuel growth for the company over the long term. In addition to The Dark Knight Rises, we are proud of our 2012 film slate. It features more titles of IMAX differentiation than ever before. In Ridley Scott's, Prometheus and Marc Webb’s, The Amazing Spiderman, both filmmakers took advantage of our format and presented sequences in our larger aspect ratio of 1.9:1 versus the conventional 2.39:1 ratio and that was exclusively an IMAX. Sam Mendes is also taking advantage of the unique IMAX aspect ratio in Sony’s Skyfall, which will begin its international rollout in October. Movie goers can also experience the unique trailer of the Skyfall that is currently only available in our digital theatres. As 2013 comes into view, IMAX differentiation will play an even bigger role. In fact, 2013 will mark a very exciting milestone and it will be the first year to feature at least two blockbuster movies with key sequences filmed with IMAX cameras; that is Paramount in Star Trek and Lionsgate Catching Fire, the sequel to Hunger Games. More and more filmmakers are embracing IMAX as a creative tool early on in the production process and we plan to build on that momentum. We are in discussions with other filmmakers for titles that may utilize IMAX cameras in 2013 and 2014. Given the level of interest and curiosity coming from filmmakers and conversations with studios, directors, cinematographers and producers, it’s clear that we need to increase the number of IMAX cameras currently in circulation and we are working on doing just that. Differentiation also comes from the projection side of the IMAX experience. We are targeting the launch of our next generation laser projection system in the second half of 2013. As I mentioned on our last call, we’ve held demonstrations for several of our partners and as a result, we anticipate signing our first laser projector deal this quarter. In addition to the many technical advantages of our laser projection, the financial benefits are also attractive, as this will be the first digital solution for 50 of our biggest commercial theatres that are film based and unable to benefit from our full suite of DMR programming, due to the cost associated with film prints. On the marketing front, in the second quarter we launched our new brand campaign, IMAX - Is Believing. The theatre roll out is complete across North America, Europe and China with additional markets like Russia and Japan still to come. We believe it is still too soon to drive conclusive results, however we are encouraged that early indications are positive. Importantly our social media matrix are also showing extremely strong growth year-over-year across all our key measurements like engagement, fan growth, reach and online presentations. To wrap up, the core drivers of our business, our robust pipeline for new theatre signings, healthy backlog, a growing network and a strong film slate are all working hand-in-hand right now. Following The Dark Knight Rises, our slate features a mix of titles that should play well to our core audience, including the Avengers which opens in Japan in August. We look forward to the release of Sony’s re-imagination of Total Recall in select international markets. Universals, The Bourne Legacy will also be released in select IMAX theaters internationally. Resident Evil: Retribution, our second film in the franchise opens worldwide in September. Sony’s Skyfall directed by Sam Mendes begins its international rollout in October. We are in discussions regarding various titles to fill in the current slot opened in late November and the year wraps up with the December release of Warner Brothers, The Hobbit: Catching Fire and Warner’s The Hobbit: There and Back Again. I’m sorry, The Hobbit directed by Peter Jackson. The 2013 film slate is also coming in to focus with the pillars of our slate internally including Paramount Pictures, Star Trek 2; Warner Brothers, Man of Steel; Lionsgate, Catching Fire and Warner’s, The Hobbit: There and Back Again. The increasing scale of our global network is providing wind in our backs, delivering substantial year-over-year earnings growth, which you clearly saw in the second quarter. A consistent pipeline of new signings is providing a stable backlog as we continue to build out our global platform at a significant pace. Strategically we remain focused on IMAX’s differentiation and we believe all of these factors will continue to drive our success over the long term. With that, I’ll turn the call over to Joe who will review our financials.
Joseph Sparacio: Thanks Rich. As Rich highlighted, second quarter adjusted EBIDTA as calculated under our credit facility increased 80% to $29 million and reflects over a 1,300 basis point increase in terms of it’s EBIDTA expansion. Driving our growth were our recurring revenue segments which increased 54% over the same timeframe, represented 65% of our total second quarter revenues up from 52% last year. We are reaching critical mass in our global network and its driving growth in our recurring revenue segments which come at a higher margin than our non-recurring revenue segments. Looking at the business segments, JV revenue increased 87% to $15.6 million in the second quarter from $8.3 million in last year’s second quarter, primarily reflecting strong box office performance in comparison to the prior year period and the increase in the JV footprint. In total, we ended the second quarter with 274 JVs in operation, a 34% increase over the same period last year. DMR revenue increased 59% to $19.7 million from $12.4 million in last year’s second quarter. Gross box office in the second quarter increased 61% to $173.5 million, versus $107.7 million last year, which demonstrates the powerful combination of network growth and stronger film performance. Our second quarter global per screen average was 342,000 in comparison to 316,000 experienced in the comparable period last year. Second quarter revenues from IMAX systems were $18 million compared to $20.5 million last year. The decrease was due to the insulation of 11 sales fleet theater systems during the second quarter of 2012, all of which were new compared to the instillation of a total of 18 IMAX theater systems, 11 new one used and six upgrades in last years second quarter. As discussed on our last earnings call, our second quarter results include a $400,000 charge related to the installation of certain equipment to some of our digital theaters which enabled them the play titles like The Dark Knight Rises in either film or digital format. This charge was included in our IMAX systems business segment. Gross margin dollars increased by approximately 48% to $38.8 million. As a percentage of revenue gross margin increased by approximately 930 basis points in this year’s second quarter to 55.3% versus 46% last year. The increase in gross margin was primarily driven by 128 increase in the JV margin and a 91% increase in our DMR margin. Moving to operating expenses, second quarter cash SG&A decreased 230 basis points to 23.7% of revenues as compared to 26% of revenues last year. SG&A from operations was $16.6 million, compared to $14.9 million last year, which reflects the previously communicated $900,000 incremental run rate impact from our standalone infrastructure in China, and a previously communicated $1.5 million increase in advertising and promotional expenses. Traditional stock based compensation which excludes variable share awards was $3.7 million compared to $3.2 million last year. Reported SG&A was $20.3 million. Variable stock comp had very little impact in the second quarter. We anticipate full year SG&A, excluding variable stock comp of $82 million, $69 million in SG&A from operations and approximately $13 million in traditional stock based compensation expense. This implies second half SG&A expense, excluding variable stock comp of approximately $43.4 million. $37.1 million of cash operating SG&A and $6.3 million of ongoing traditional stock based comp. Research and development expense was $2.5 million in the quarter. We currently expect full year R&D expense of approximate $16 million. This implies R&D expense for the second half of 2012 of approximately $10.9 million, $650,000 of which will be amortization expense related to our laser based digital projection initiative. I also want to highlight a $700,000 favorable adjustment made to our differed tax provision, due to changes in statutory tax rates, which resulted in an effective tax rate of 25% for the quarter. Last year we had a negative adjustment to the provision of $400,000 for a similar reason, which resulted in an effective tax rate of 41.8%. As a reminder these tax adjustments impact only reported net income and EPS, not adjusted net income or adjusted EPS. For the year we now estimate an effective tax rate of 31%, which includes cash taxes of $3 million to $4 million. Just some final housekeeping items; please note that in the second quarter we incurred charges related to receivables and inventory reserves totaling approximately $400,000. During the quarter we signed agreements for 40 theater systems and installed a total of 20. Our backlog at quarter end in quarter end consisted of 280 theater systems, up sequentially versus the 261 at the end of last quarter and compares to 294 systems, one in the one year ago period. The break down between system type is included in the back of our earnings release. For the third quarter of 2012 we expect to install 10 to 12 new sales or sales type lease or lease systems. We also expect to install approximately 16 JV theaters in the third quarter. Today we announced the increase in the number of theaters scheduled to install out of our current backlog for the full year of 2012, to approximately a 110 theaters, comprised of approximately 50 sales type lease systems and 60 joint revenue sharing systems. Finally, as many of you are aware, our definition of adjusted net income currently excludes the impact of non-cash differed taxes and variable stock based compensation. Beginning in the third quarter of 2012, the company to plans to adopt a revised definition of adjusted net income, which will exclude all stock based compensation, any one time times, and will be fully tax effected. We believe that this revised definition should provide for a more straightforward and conventional calculation of our adjusted earnings. With that, I’ll turn it back to Rich for closing remarks.
Rich Gelfond: Thanks Joe. In a period where no single title comprised a significant portion of our revenue and I think that’s a point we’re dwelling on a second. It wasn’t a quarter where there was one break out title, there was a lot of doubles, it wasn’t a big home run quarter. We are able to deliver a 200% increase in earnings. The combination of our growing network signings activity and consumer demand for the IMAX experience are driving recovering revenue, higher markets and increased cash flows and we look forward to building on this over the long term. Now, obviously we stepped back and we hear a lot things and the world is a challenging place right now. We hear about a China slowdown, but we are not seeing in IMAX. In fact our same store sales are up significantly. We hear about our box office slowdown, we are not seeing it, as same store sales both internationally and domestically are up significantly. We hear about a slowdown in signings and where are they? This quarter we had 40. We are not seeing it and the tone of our business is extremely good. So I just like to end on the note by saying that, our business is very strong, the quarter reflected that and we feel very good going into the future. And with that, I’ll open it up to questions.
Operator: (Operator Instructions). Our first question comes from Townsend Buckles of JP Morgan. Please go ahead.
Townsend Buckles - JP Morgan : Thanks. Rich, on the pipeline for new screen deals, given that you have signed a lot of new screens over the last few months, could you help us gauge the level of deals in play now versus your last update during your Investor Day and also how you see the conversion cycle of a major title like Dark Knight translating to bringing in new exhibitor partners. Is it already generating new discussions?
Rich Gelfond: Sure Towns. First of all, its not generating discussions yet, because people are waiting to see the box office and as I said during my remarks, the box office domestically has been very strong. Somewhat of a surprise to us so far is the strength of the international box office, because The Dark Knight, the original one, did about two thirds per screen of what the box office did domestically. The early international results, and remember we’ve opened in only about half of the screens. Right now are showing that if anything, the international box office results are stronger than the domestic box office results, and as you know, that’s a place where we are more of under penetrated. So I don’t really know the timing of it now and that’s very difficult to calculate. But obviously that over performance internationally bodes well for screen growth of us. On your second question, the tone of the business, I’d say probably at Analyst Day we were very bullish on the amount of inquires and the level of business activity and as we said for the quarter we signed 40. So far this quarter we have about 10 in the bank and I would say I feel the business activity is just as strong. So if you took away the more or less 50 that we signed since them, I feel the tone of the business is pretty much the same and in China we probably got discussions going on for somewhere between 50, 100 systems and again, let me caution, they are definitely not all going to happen, there is no way. In Western Europe with the changes we’ve put in place there, activity is better than it’s been years. In North America somewhat surprisingly given how penetrated we are, the activity is high. In South America which you know is a strategic initiative for us, I think we are still in a building phase there, but it’s certainly better than it was a year ago. So in general I’m felling good about the tone of the business.
Townsend Buckles - JP Morgan : And does your 2012 installed guidance and backlog include the deals you’ve signed so far this month?
Rich Gelfond: To some extent, not to a full extent.
Townsend Buckles - JP Morgan : Okay and finally, for your institutional screens playing Dark Knight, can you talk about how those are performing versus your commercial screens and could we see them being used more often for your major releases.
Rich Gelfond: Do you want to answer that Greg?
Greg Foster: Sure, this Greg. They are performing very, very well. Part of the reason they are is that they are film based and as you know that’s a particular specialty of Chris Nolan and so they have been designed to take advantage of the way he shot and put the film together. With that said, the marketing support that we’ve also received from our institutional partners for a title like The Dark Knight Rises has been very strong, as well as obviously the support that we have from companies like Regal and AMC, etcetera. But the institutional theatres are performing in a very strong rate on The Dark Knight Rises.
Townsend Buckles - JP Morgan : Great. Do you expect to use them in future releases?
Greg Foster: You know we’ve been using them. We haven’t had as robust of a use of them as we have for The Dark Knight Rises. Again, that’s because the film systems are such an important part of the design of the film, but we love having them be a part of appropriate titles and will continue to try and encourage that as often as possible.
Townsend Buckles - JP Morgan : Great, thank you.
Operator: Thank you. The next question comes from Rich Ingrassia of Roth Capital Partners; please go ahead.
Rich Ingrassia - Roth Capital Partners: Thanks. Good morning everybody.
Rich Gelfond: Hi Rich.
Greg Foster: Hi Rich.
Rich Ingrassia - Roth Capital Partners: Rich, any progress towards finding a joint venture partner in Russia and just maybe an update on that market in particular.
Rich Gelfond: Well, we’re not really looking for a joint venture partner in Russia Rich. If you mean in terms of activity going on and potentially future signings, it’s still a pretty hot area for us. I think I mentioned on the call we have 24 theatres opened, we have 25 theatres in backlog and we’ve seen Russia at the CIS, places like Georgia and the Ukraine and there’s an awful lot of activity going on over there. The per screen averages in Russia are up over last year fairly significantly, our partners are pretty happy and there’s a good level, but we are not really looking for one JV partner. We are in discussions with a number of chains.
Rich Ingrassia - Roth Capital Partners: Okay, fair enough, and an update maybe on any additional progress in the second screen initiative.
Rich Gelfond: Yes, I mean it’s a little bit complicated Rich. First of all, the one we did with Guzzo in Montreal where it’s one theatre but two languages seems to be going pretty well. The grosses are pretty good, so you know that the first test, albeit not exactly a representative test is working pretty well. I think I said on the last call that I just don’t see that as that large an opportunity and the reason is because you have to have a second large screen, the same size of the first screen. You know it has to be in certain markets where your really dealing with capacity issues, but we’ve recently been meeting with all of our major clients and we’ve discussed it. There are some technical issues, so I don’t expect it to happen in the short run, but it’s an ongoing discussion. I just want to be careful to caveat that. It’s not a part at all and if it happens, we probably can do it in a couple or a dozen theatres or something like that and I think it will happen eventually, but it’s not going to happen tomorrow.
Rich Ingrassia - Roth Capital Partners: Okay. I appreciate the candidness there and you’ve got enough penetration. I would think of secondary and tertiary markets, that’s the right way to describe them, now that there’s data to speak to. Is there anything important to note about how the IMAX theatres are performing in markets outside urban centers, major urban centers.
Rich Gelfond: Yes, I mean two of our most successful theatres in North America and maybe the world are actually with Warren Theaters. One is Okalahoma City and the other one is Wichita, Kansas and they are both among the top 10 theatres in the country when they have IMAX releases in them, which is kind of remarkable and part of the reason is that, the operator Bill Warren really works the marketing extremely hard and that makes it a very big difference. It’s not just in the US. One of the questions we get frequently in China, is about what about third tier cities or fourth tier cities and we are seeing very good results out of there too and I don’t think it’s only the marketing. I think there’s more of a lack of entertainment options in some of those cities. I think its a little bit like a baseball team kind of thing. So a place like Cincinnati, The Reds are really a big deal and I think at some of those markets, they are like Wichita Okalahoma having an IMAX theatre is a big deal and I think you can over index in those places.
Rich Ingrassia - Roth Capital Partners: Got it. Okay, thanks. And congrats on the promotion Heather.
Heather Anthony: Thank you Rich.
Operator: Thank you. The next question comes from James Marsh of Piper Jaffray. Please go ahead.
James Marsh - Piper Jaffray: I got two quick questions here. First, Rich you mentioned you were poised to sign your first laser deal maybe in the current quarter. So I guess with the deal so close to signing you might have a pretty good idea how you might price up projectors. I was wondering if you could give us some kind of range to think about on the laser side. And then secondly, I was hoping you could drill down a little bit on The Dark Knight Rises performance. Kind of what metrics are you looking at currently? It seems like this Saturday to Sunday hold was pretty strong. What are your expectations throughout the rest of the week and into the weekend? Thanks.
Rich Gelfond: Okay, so first on the laser. It’s actually quite interesting James when you get into it, it’s a very interesting question and that is, it wears an (inaudible) system. No matter what size the theatre is, the price is the same, because you have a digital projector that delivers an image. So if it’s 50 feet wide or it’s 70 feet wide, it’s the same price. In the laser world it takes more of lasers to light a 100-foot screen than it takes to light an 80-foot screen. So there won’t be uniform pricing in the laser world. It would really depend on the size of what the screen is. Laser prices are fairly high right now. So I think if you look at us pricing a big screen right now in today’s environment, it would have to cost more than our existing digital projector. But I think we expect as lasers become more prevalent, the cost will come down like any technology cycle. But I think in the interim for those big film based theatres, I guess I have to remind everyone, because most of you weren’t around, but at the – like the Lincoln Squares, The Metreons, those systems originally cost close to $2 million or in that neighborhood when those film systems were built to throw out that kind of light and that kind of power and although we haven’t said our final price, I would expect it to be less than the film systems.
James Marsh - Piper Jaffray: Okay, that’s helpful, thank you.
Rich Gelfond: The second thing on The Dark Knight, so I mean the weekend, just obviously the tragedy was so horrible for everyone in the industry that that was the first thing we focused on. Once we took a step back and looked at the numbers, I mean we were at capacity virtually everywhere in North America and the movie itself may have done less than people predicted, but we did it the same or better than we predicted internally. Internationally our per screen average and domestically our per screen average was about $57,000, which meant that virtually every show was a sell out, not completely, but virtually. Internationally we did $75,000 a screen and that’s a market which for the last Dark Knight did – I’m trying to remember, but I think it was around 40, something like that James. I could be off by a little bit, but it did much better than the last franchise. The weekday numbers so far are holding up extremely well. So on Monday we did 16% of the US domestic box office and we did $3 million. So we did around $1 million internationally. It’s doing really well for us. In terms of defining, our expectation, which was your original question, I think we started with high expectation and we still have high expectation for the movie. I mean I think that from what I’ve seen at the moment, it well looks like maybe international will be a little bit better than we thought and maybe some of the fall out may make domestic a little flatter than we thought, but we are still feeling very good about where we stand.
James Marsh - Piper Jaffray: Okay, thanks a lot Rich.
Operator: Thank you. The next question comes from Ben Mogil of Stifel Nicolaus. Please go ahead.
Ben Mogil - Stifel Nicolaus: Hi, good morning and thanks for taking the call, and Heather to reiterate Rich’s comments, congratulations on your promotion. Rich, I wanted to talk to you about China a little bit. So you’ve got I think 132 screens in backlog. Are you seeing any pushing out from say screens that were suppose to be installed in ’13 and into ’14 or beyond as the real estate environment there sort of continues to fluctuate and certainly some of the lodging guys have been talking about development obviously slowing considerably. Are you seeing any kind of pushing around of the schedule if you will?
Rich Gelfond: We haven’t yet. With our core client Wanda, they are pretty buttoned down and pretty far along in their build out scheduled and I don’t really expect to see much of that. Just to give you an example, there are 49 Wanda Malls and we’re in 47 of them. So they are not in office constriction, they are not in commercial construction, they are developing malls for the growing middle class and that’s where a lot of our theatres are. So in the Wanda area we really haven’t seen much slippage. In the non-Wanda backlog, I don’t really feel qualified to address that, because I haven’t had specific discussions, but I haven’t heard of a lot of that going on.
Ben Mogil - Stifel Nicolaus: Okay, great thanks. And then sort of a second question and I don’t want to actually get too much into the weeds about the screen installation etcetera, but you made a comment I think to Townsend’s question earlier, the guidance that we’ve got for the year now includes some but not all of the screen deals which are being signed this month. Is that because some of the deals that were signed recently are really 2013 installs or are they sort of 2012 and everyone’s just trying to figure out the logistics around that?
Rich Gelfond: Well, I’ll answer it in two ways for you. One, like in the AMC deal, they guaranteed a certain amount of installs this year, but they have CapEx approved for more than the number that they guaranteed. So we put in only the number they guaranteed. We didn’t put in the ones for the CapEx they already have approved that we think are going to be installed, but they are not confirmed in the contract from backlog. We’ve also got a couple of other deals that we haven’t announced yet, that have signed this quarter and we really haven’t looked at how they affect our guidance.
Ben Mogil - Stifel Nicolaus: Okay. And then a last question and this probably is more for Joe. A big sort of spike up in DNA for the quarter; is that the beginning of the Kodak sort of patents being amortized or are there some one time things. I’m trying to get sense, kind of looking for what we should be looking at from a DNA perspective.
Joe Sparacio: I think what you’re seeing all through there Ben, I mean we can look at it in more detail off line, but it’s the JV amortization – the depreciation and the equip on the JVs as that network continues to grow. In addition we had a lot of titles in DMR this past quarter. So you’ve got that amortization of the production costs as well.
Ben Mogil - Stifel Nicolaus: Okay, that’s great. Thanks Joe and if I have more questions, I can talk to you on our follow-up call.
Operator: Thank you. The next question comes from Eric Handler of MKM Partners. Please go ahead.
Eric Handler - MKM Partners: Yes, thanks for taking my question. Two things for you; first on Latin America. You restructure your agreements down there at the beginning of the year, the outlook looks good, it does seem like things are little bit slow going in that region right now with the Brazilian Real falling so much relative to the US dollar. Is that one of the issues or are there some other gating factors with regard to Latin America right now. And then secondly with regard to AMC, now that Wanda has full approval and they are moving forward with closing this deal, I wonder in the new deal that you signed, does that also include some stipulations that Wanda puts some incremental CapEx into may be some of the IMAX signage that they have or something else to improve some of their theaters.
Rich Gelfond: So on your first question Latin America, I mean Eric, we signed the amendment in January, and I think I was quite clear that there was a transaction period that was going to take place and we are in the midst of that transaction period. So not to be either glib or obnoxious about it like; we don’t snap our figures and all of a sudden we have an infrastructure in Latin America and we start signing tons of deals. It takes a little while to get up to speed and we put together a plan. As a matter of fact I spent some time yesterday with our team working on it. We are looking at hiring additional resources on the ground. Our plan involves both real-estate developers in Latin America, as well as exhibitors in Latin America. There are 60 malls under construction in Brazil right not. We are executing on our plan. There are lots of discussions going on with lots of exhibitors and some real-estate people and I think in due course it will pay off, but its not just because I said strategically we want to go into Latin America, I could snap my fingers. The most encouraging things is I think we have five theaters opened in Latin America, in Brazil, including two or three that opened this year and they are just knocking the cover off the ball. Sinopolis (ph) opened one just a couple of weeks ago and in one of the best malls in all of Brazil. One of the things we say is the precursor to success in a country or region is reference theaters and in Brazil virtually all of our theaters are reference theaters. So you know that’s a very good sign. I still feel good about the territory, but I can’t predict whether its this quarter or its going to take a little while longer to happen. In terms of AMC, my understand is that AMC has all its approvals, but that Wanda has a few to go in China, so I don’t think its full approved. I think it will go through from everything that I’ve heard. But I don’t think that – AMC is still operating as it did before. The deal isn’t closed. So I don’t think Wanda’s capital commitment’s, of which I understand there are some, had anything to do with the deal that we just did.
Eric Handler - MKM Partners LLC: Great, thank you.
Operator: Thank you. The next question comes from Aravinda Galappatthige of Canaccord Genuity. Please go ahead.
Aravinda Galappatthige - Canaccord Genuity: Good morning. Thanks for taking my questions. Rich, my first question was on Japan. Its been a market that’s done well for you guys in the past in terms of strong PSAs. Its been slowed down at recent times for obviously reasons. I was wondering if you had any comments in that market? If there is any potential there for signings to kind of reignite there.
Rich Gelfond: There is some potential Aravinda and we just had a team over there a couple of weeks ago. As you professed in your question, I think as you probably know Japan has been pretty slow to recover from the tsunami and the earthquake and the exhibition business isn’t an excepting to that. So Japan was kind of on a tear for us. I don’t really see it resuming that tear in the near term because of the macroeconomic issues, but I think there will be some signings to cine out of there. Our theaters continue to do pretty well. We had some good discussions and I think you will see some business come out of there.
Aravinda Galappatthige - Canaccord Genuity: Okay, thanks for that, and my second question was, I mean there seems to be some conflict about the release of the Dark Knight is China clashing with Spiderman, supposedly August 30. I was wondering if there was any insight that you can add to that.
Rich Gelfond: Let me ask Greg to do that.
Greg Foster: The dates are not confirmed. Until the dates are confirmed you can’t rely on anything, especially in your window. Obviously its something that we know that Sony and Warner Brothers are likely spending lots of time addressing, but its their issue and we’ll follow through with whatever happens with them. But the dates have not been confirmed. I believe that we are cautiously optimistic that things are going to work out with those movies getting into the country, but until its official, its not official.
Aravinda Galappatthige - Canaccord Genuity: Thanks for that, and my last question is to Joe. On the SG&A guidance; I mean when you look at the SG&A numbers that we’ve seen, ex stock based comp for the last couple of quarters, the guidance does imply a meaningful up-tick in Q3 and Q4. What exactly are you expecting would create that up-tick?
Joe Sparacio: I think Aravinda, there are some timing items and I think the level of spending on the advertising and promotional area is one of those areas.
Aravinda Galappatthige - Canaccord Genuity: Thanks very much. I leave it at that.
Operator: Thank you. The next question comes from Steve Frankel of Dougherty & Company. Please go ahead.
Steve Frankel - Dougherty & Company : Good morning. Could you tell us where the network stands today, split between international and domestic screens and what were the individual PSAs on domestic and international in the quarter?
Rich Gelfond: Joe is fishing that out Steve, so just give us a second.
Joe Sparacio: So commercially at the end of the quarter we had 529 commercial multiplex theaters and 309 of them were domestic with the remainder international. And then on the PSA side for the quarter, the overall was as I mentioned on the call 342,000, domestic was 254,000 and international was 477,000.
Steve Frankel - Dougherty & Company: Great, thank you. That’s all I have.
Rich Gelfond: Thank you Steve.
Operator: Thank you. The next question comes from Jim Goss of Barrington Research. Please go ahead.
Jim Goss - Barrington Research: Okay, well I was interested in focusing a little bit on the contract flexibility issues. It seems to me that’s been one of the big differences between this year and last year where you have been able to say again, a week of 100 games where it wasn’t originally in the schedule or some of the other movies might have had similar variability in the runs. Now I’m wondering if you could discuss that and also put in context, what the arrangements are for the Dark Knight Rises. I think you said there was a perhaps five to six week locked out that was potential for it and do you think you will use all of that, can you use more than that and what would come next after that according to current plans.
Rich Gelfond: Well Jim, what we announced on the call was internationally we are doing both Total Recall and Bourne Identity in different territories, international territories not domestic. So I think what will happen is, if the Dark Knight doesn’t hold up in those territories across the whole six or eight week period of time, then we will swap those movies in and international has a lot more flexibility than the US in terms of screen sharing. So it may be that in some of those territories and by the way Bourne and Total Recall are largely in different territories. So that gives us flexibility internationally and we’ll kind of see what happens there. Domestically the Dark Knight is performing extremely well. Its performing exactly as we predicted going into it and I think its going to have a long run and Greg will be comment a little bit more on that in a moment. The other thing I will talk about flexibility in general. I think that both our studio partners and out exhibitor partners have noticed that if something is working well, they have been more flexible in letting it stay on the screen or if something isn’t working as well, they have been more flexible in letting us put something out in its place and I think that flexibility among our partners has enabled us to maximize box office during the quarter. And that was a little bit of a point I was making during my concluding remarks, was if you do back to the second quarter, I mean going into it, it wasn’t a quarter for us of amazing blockbuster hits. It was a quarter where we had a number of films that played pretty well and because of the growth of the network and the size of the network, we are able to deliver the excellent financial results we did. And I think that’s probably a maturation process, of both our relationships with the studios and the exhibitors and everyone being more understanding and flexible. I’ll let Greg address the Dark Knight a little bit more.
Greg Foster : Two things; first of all of the flexibility issues for the end of the summer. The titles that we announced today are Total Recall and Bourne are titles that open in the international select markets that we are going in later in the year. So they are not titles that open in the next week. Total Recall opens domestically on the 3, August and Bourne Identity is a week later. These are titles that open the end of August into September and some even in early October in the territories that we are going with. So the point is, we are all in for the timbering on the Dark Knight Rises. With that said, as Rich pointed out, the performance of the Dark Knight Rises is wide for all and its working very, very nicely. On the flexibility side I think its in terms of how the other studios are responding to our schedule and the way we kind of move things in and out at times. I think its important to remember that when the Dark Knight Rises open, Rich says this all the time, sorry when the Dark Knight opened in 2008, we had a 140 theaters playing the film. This year when the Dark Knight Rises opens in all of the territories, take China out, put a pin around China for a second, we will be approximately 500 screens. So because of that leverage, there is much more understanding and flexibility that it’s a round world basically and if a movie is not performing, everyone understands that another move at the right time will go in and that when the same thing happens to your studio, that same kind of flexibility will be shown. So everyone’s sort of working as partners, which is the way it’s supposed to be.
Jim Goss - Barrington Research: All right, terrific and just a couple of other details. Third quarter to-date IMAX gross box offices, I guess these first four weeks, can you tell us what that is to this point.
Rich Gelfond: Jim, we don’t release it on that basis. We’ll do a mid quarter review. Well we will release the number of mid quarter as we always do.
Jim Goss - Barrington Research: Okay and lastly, where are you headed in terms of numbers, international DMR films for this year and next year?
Rich Gelfond: International DMR films for this year and next year, Greg.
Greg Foster : Probably a minimum of five and it could be notably more. China in particular will have the focal point of our DMR titles. We’ve already announced CZ12, Chinese Zodiac, there are some other titles that are fourth coming, especially during the December, January period and I think over the course of the next 12 months, we can comfortably say that we will have at five international DMR titles, but if I were a betting man I would suggest probably a one or two more.
Jim Goss - Barrington Research: Okay, thanks.
Operator: Thank you. The next question comes from (Inaudible) of Susquehanna Financial Group. Please go ahead.
Unidentified Participant - Susquehanna Financial Group: All right, thank you very much. Good morning. Rich so you are half way through the year now and this is the year where you changed your release rate strategy. Looking back at the past six months, is there anything you think you should have done different and then looking at the second half of the year, you arguably have smaller films coming up now. Anything that you learnt from the first half that you can apply in the second half? And do you think its working well enough in your mind for this strategy to go into 2013 and 2014 and so on.
Rich Gelfond: Well, I mean given our box office and our earnings today, I think our strategy is working really well and given that we are up so much, virtually everywhere in the world, you know I think, yes I think its working. What I would learn, in a way this is almost like saying, if you’re the coach of a Superbowl team, you would be more plays that worked and you would be less plays that didn’t work. So I wish I had film prints for the Avengers and Hunger Games and if I had it to do over again, I would have film prints for the Avengers and Hunger Games. So you know it’s the movie business, though it doesn’t work that way. You can’t after the fact say, I wish I had more of the winners and less of the losers. You look at it as a support quality on. I think in terms of managing a portfolio we did very good. I mean we are ahead of budget, our box office is way up, our earnings are really good. So of course I would do things differently with the benefit of hindsight, but on balance I think we did a pretty good job. In terms of the second half of the year, we got Bond and we mentioned Bond has a special aspect ration, that Sam Mendes special trailer. We are expecting really good things from that. We are still choosing a November title; we are in the middle of doing. We got The Hobbit and I think some of our intermediate movies like Resident Evil and some of the international ones we’ve added today, no, I think we are good shape. I think if I was looking at the schedule today, going forward I’d be exactly where I am right now. On the other hand I guarantee you if you ask me this question in March, I’ll tell you I would have done it differently.
Unidentified Participant - Susquehanna Financial Group: Right, okay I will remember to do that. Thank you very much.
Rich Gelfond: Thank you.
Operator: Thank you. The next question comes from Marla Backer of Hudson Square. Please go ahead.
Marla Backer - Hudson Square Research: Thank you. I’m actually going to switch topics a little bit, because we’ve spent so much time taking about the film slate. Its really early in your new branding messaging. But have you gotten a sense yet of what the impact of the new messaging has been, number one and number two, how do you plan to leverage that going forward in addition obviously to putting more butts in the seats.
Rich Gelfond: It is our ‘08 model, but I can tell you, at the first level may be the most important thing is that our partners buy in. So wheatear its Wanda in China or its Regal in the United States or whether it’s the Smithsonian Institution in Washington, on a worldwide basis our partners really like it and the way that’s had a positive impact, is they’ve actually put their own marketing dollars into it and their own incremental spend. So they put together their own campaigns leveraging off it and I think that will have a positive impact on putting bums in seats. You know the other part of it I would you know in long term we’ll be able to measure that. Its harder to do that in a short term. The only way we can measure that in the short term is kind of social media awareness and pickup that we’ve gotten extremely good feedback and we’ve gotten a fair amount of increase in terms of access to our social media. So we fell good about it today, but as you know marketing campaigns, you can’t really judge over a couple of months; it takes a longer frame than that.
Marla Backer - Hudson Square Research: All right. Okay, thanks and then I have one housekeeping question. Getting back to the question on Dark Knight, how its currently scheduled to be in IMAX theaters, domestically I think its eight weeks. If this film starts to wind down towards the end of that eight week period, do you have the flexibility to put some titles you announced today that are designated for international, both Bourne and Total Recall, do you have the flexibility to pull them domestically?
Greg Foster:  Rob, this is Greg, I’ll answer it. We always have to do what’s in the best interest of our theater network and our partnerships and based on what we know today, its a mood point, its not really something that we are focused on. But we always have our sketch pad out and are figuring out what the various plans A, B, C, D and Es and we would never put ourselves in a position where something is there and not working and nor would our partners even want us to. It’s not something that I anticipate being an issue. This movie is grossing huge numbers. As Rich pointed out, we are doing between $3.5 million and $4 million a day during the week. This is the sixth day of the film’s release and we are doing very nicely. So to me I would just sort of lets see what happens in the second weekend, but so far so good.
Marla Backer - Hudson Square Research: Great, okay. Thank you.
Rich Gelfond : We’ll take one final question operator.
Operator: Thank you. The last question will come from Martin Pyykkonen of Wedge Partners. Please go ahead.
Martin Pyykkonen - Wedge Partners: Yes, thanks. A couple of things on – looking forward as far as the film based network that you still have with the Dark Knight coming out. I think it was 20%, 103 screens or so. Could you just give some color on where those are generally. I know Lincoln Square, the Metreon are the big ones here, but of that 20% are a larger number or percent of those international and relatively older screens or is it really a mix across the board.
Rich Gelfond: They are all over the world. The BFI, our theater in London is to-date the highest grossing screen that we have on the film. Basically sold out for the first 10 days of the film. We have other theaters in the UK playing the film in film. Obviously we have a bunch in North America, but it’s a global footprint. The film-based theaters do tend to be our “older theaters.” But they are those big huge palaces that everyone sort of grew up with and again, Chris has designed the movie to take advantage of the 143 aspect ratio that those film theaters provide and people are getting a robust experience in those theaters that they really can’t get anywhere else other than in the IMAX network. So its again, it’s a global footprint, the 103 theaters.
Martin Pyykkonen - Wedge Partners: And Greg I guess a follow-up for you, just you obviously deal with all the studios. If we look at the new IMAX partnership, particularly on the international, you do a lot of variability in terms of different films, roll out in different markets at different times after domestic and in some cases before domestic. What’s the approach that they take with you or is there a general methodology to that or is that just very case-by-case, film-by-film.
Greg Foster:  Its case-by-case, film-by-film and opportunistic. The release schedule is often staggered in international markets and if there is an opportunity for us to take advantage of that, they are up for doing that and so are we. We always keep our committees. So when we have a film like the Dark Knight Rises, we are never going to come in and put something in opportunistically outside of the window that we’ve agreed to. But when you have a movie like Total Recall opening up in September, in the market, it makes a lot of sense.
Martin Pyykkonen - Wedge Partners: And then just lastly for Rich; on the Latin America thing, not to beat that to death, but from a timing expectation should we start to think of some deals being announced within this calendar year or do you think its more into 2013 based on where you are at today.
Rich Gelfond: I’m sure there will be some announced during this calendar year. What I had said before in terms of a significant movement, I think its more a 2013 issue. There will be something this year, but its defiantly more 2013.
Martin Pyykkonen - Wedge Partners: Okay, Greg doesn’t stand the truth; you don’t have to deal with us anymore.
Rich Gelfond: No, that’s not sure. We got a lot of calls all day, but thank you Martin. So again, I would really appreciate your support as shareholders. I think many of you have been around for a long time. While we said we are going to build out this recurring revenue machine, growing our network all over the world, increasing the number of Hollywood films, increasing the gross per screen and I think this quarter is the best evidence yet that we’ve succeeded in that overall effort. Thanks again and we’ll be back in the third quarter.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.